Operator: Good morning ladies and gentlemen, and welcome to the NiSource Fourth Quarter 2017 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Randy Hulen, Vice President of Investor Relations. Please proceed.
Randy Hulen: Thank, Andrew and good morning, everyone. Welcome to our quarterly investor call. Joining me this morning are Joe Hamrock, Chief Executive Officer; and Donald Brown, Chief Financial Officer. The purpose of today's call is to review NiSource's financial performance for the fourth quarter and full year of 2017, as well as provide an update on our business operations and growth drivers. We'll then open the call up to your questions. During this call, we will be referring to our supplemental slides; these slides are available on nisource.com. Before turning the call over to Joe, just a quick reminder; some of the statements made on this conference call will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. In addition, some of the statements made on this conference call relate to non-GAAP measures. For additional information on the most directly comparable GAAP measure and a reconciliation of these measures, please refer to the supplemental slides and additional segment and financial information which are also available on nisource.com. In that document, you'll also find our full financial schedules that have historically been available in our earnings release. With all that out of the way, the call is now yours, Joe.
Joseph Hamrock: Thanks, Randy, and good morning, everyone and thanks for joining us. 2017 was the year of solid execution across all facets of our business plan with industry leading employee safety performance, improved customer satisfaction across all NiSource utilities, record infrastructure investments, increased customer growth, more recognition as the best place to work and sustained earnings per share and dividend growth for our investors. Let's look at Slide 3 of our supplemental deck and highlight some of our significant achievements in 2017. We delivered non-GAAP net operating earnings per share of $1.21 compared to $1.09 in 2016. This was slightly above our guidance range for 2017. We invested a record $1.7 billion in our utility infrastructure in 2017, part of our more than $30 billion of identified long-term investment opportunities. This investment included replacing 377 miles of priority natural gas pipeline which drove continued reductions in leaks and methane emissions. We also replaced 68 miles of underground electric cable and about 1,300 electric poles improving electric service reliability for our customers in Indiana. We achieved industry top docile [ph] performance in our core employee safety metrics and I'm proud to say that 2017 was our safest year ever. Customer satisfaction scores improved across all NiSource utilities. JD Power & Associates recognized Columbia Gas of Virginia as one of the nation's top gas only brands and NIPSCO as one of the most improved electric brands, and we added nearly 28,000 new customers which growth driven by increased conversions to gas from other fuels in a healthy housing market. We successfully completed key regulatory initiatives with approvals of gas base rate case settlements in Maryland and Virginia and our power generation environmental investment plan in Indiana. We refinanced nearly $1 billion in long-term debt at more favorable rates which will result in significant interest expense savings over the next several years. We established aggressive environmental targets supported by our business strategy including a 50% reduction of greenhouse gas emissions from 2005 levels by 2025. We earned global recognition as the 'Best Place to Work' as well as for our inclusive and diverse culture. NiSource was the top ranked utility in Forbes Magazine's list of America's Best Large Employers for 2017, and for the first time was recognized as the Best Place to Work for LGBTQ Equality by the Human Rights Campaign Foundation. And in early 2018, we were one of 104 companies in the world named to the inaugural Bloomberg Gender Equality Index. And we delivered a total shareholder return of more than 19% for 2017, significantly exceeding the two major utility indices. As you can see, NiSource's performance in 2017 created value for our customers, the communities we serve, our employees and our investors, and we're well positioned for continued growth. Before turning the call over to Donald, I'd like to note how pleased I am with the targeted solution for the regulated utility industry that Congress included in Federal Tax Reform. Because this solution supports the continued investment in critical utility infrastructure that provides long-term benefits for our customers and communities. We're working with our key stakeholders and regulators in all 7 states to shape the most balanced and constructive approach to pass the benefits of tax reform back to our customers. This effort should play out over the next 6 months or so. To highlight a few examples of this effort; in Indiana, we amended the NIPSCO gas rate case to reflect the impact of tax reform lowering the requested increase by approximately $26 million. In Ohio, we expect to include customer benefits from tax reform as part of our discussions around the capital expenditure program filing that requests the writer to recover deferred capital investments made since 2011 and which are not being recovered under the existing infrastructure modernization tracker. As I said, these efforts as well as others across the remaining jurisdictions will take shape over the next six months or so. With this clarity about the new tax law and the expected regulatory implementation of its provisions, we're confident in our ability to meet our commitments to the financial community and continue to create solid shareholder value. Now I'd like to turn the call over to Donald who will discuss our financial performance in more detail. Donald?
Donald Brown: Thanks Joe, and good morning everyone. I'd like to start by adding a few more details around tax reform which we know has been a great interest to investors over the past year. Turning to Slide 4, with the adoption of the tax cuts and jobs act, we revalued our net operating loss carry forward to $508 million which is expected to continue to provide nice source of cash tax benefit beyond 2025. I would also point out that the remeasurement of our deferred tax liabilities increased our regulatory liabilities by approximately $1.5 billion which will provide a benefit to our customers. As Joe mentioned, the new tax law is positive for our customers since it lowers their costs and supports our continued investment in critical utility infrastructure which benefits all stakeholders by enhancing safety, service reliability and the environment performance of our system. As we get more clarity on the regulatory implementation and work through business initiatives focused on efficiencies, we will better understand the impact of tax reform on our credit metrics, specifically funds from operations to debt. With this clarity, we will then finalize any necessary changes to our financing plan which may include utilizing a mix of hybrids, convertibles, debt and equity. I would add that any necessary changes will be within the context of delivering on our stated financial commitments, including every effort to maintain our current investment grade credit ratings. It puts confidence in our plan and the levers in flexibility that we have available to us to manage this near-term impact, and that we are reaffirming our 2018 non-GAAP net operating earnings guidance of $1.26 to $1.32. We also continue to expect to grow our non-GAAP net operating earnings per share and dividends by 5% to 7% each year through 2020 and to invest $1.6 billion to $1.8 billion annually in our utility infrastructure programs through 2020. Moving on to our results in Slide 5; we've delivered non-GAAP net operating earnings of about $398 million or $1.21 per share in 2017 compared with about $351 million or $1.09 per share in 2016. The biggest driver of our solid financial performance continues to be the impact of our long-term infrastructure modernization investments, supported by solid regulatory outcome and established infrastructure trackers. I would note that our GAAP results were impacted by certain balance sheet adjustments and other items related to federal tax reform. Let's now turn to the non-GAAP financial results for our business segments. Our gas distribution operations segment had operating earnings of about $587 million for the year compared with operating earnings of about $598 million in 2016. Net revenues were up about $164 million driven primarily by new rates from base rate cases and infrastructure replacement programs. This increased revenue was more than offset by operating expenses which increased by about $174 million. Our Electric Operations segment reported operating earnings of $377 million for the year, an increase of about $75 million from 2016. Net revenues were up about $122 million driven by new rates from the 2016 base rate case and increased investment in the transmission projects. This increased electric revenue was partially offset by an approximately $48 million increase in operating expenses. As we've discussed previously, the planned 2017 increase in non-tracked O&M expenses were largely driven by commitments in recent rate case settlements to make certain investments in safety, reliability and customer service enhancements. We're managing these expenses closely and we're on-track for flat O&M expenses compared with 2017. Full details of our results included details of our fourth quarter performance earnings available in our earnings release and supplemental financial information posted this morning at nisource.com. Now turning to Slide 6, I'd like to briefly touch on our debt and credit profile. Our debt level as of December 31 was about $9 billion of which about $7.7 billion was long-term debt. The weighted average maturity on our long-term debt was approximately 18 years and weighted average interest rate was approximately 4.8%, which is more than 100 basis points lower than at separation. This reduced cost to capital will help provide long-term sustainability to our infrastructure investment programs. At the end of 2017, we maintained net available liquidity of about $1 billion consisting of cash and available capacity under our credit facility and our accounts receivable securitizations. Going forward, our financial foundation is solid and poised for continued growth. Now I'll turn the call back to Joe to discuss a few customer, infrastructure investments and regulatory highlights.
Joseph Hamrock: Thanks for that update Donald. Now let's turn to some specific highlights for the fourth quarter and early 2018 from our gas operations on Slide 7. Our gas base rate case in Indiana remains pending before the Indiana Utility Regulatory Commission. In January, we made a supplemental filing which incorporates the customer benefits of federal tax reform lowering our annual revenue increase request by nearly $26 million if approved as filed. The case supports continued investments in systems upgrades, technology improvements and other measures to increased pipeline safety and system reliability. An order is expected in the second half of this year. In Ohio, the public utilities commissioned in January approved the five-year extension of Columbia Gas of Ohio's infrastructure replacement program. This well-established program covers replacement of priority mainline pipe and targeted customer service lines. Also in Ohio, we filed an application in December for a capital expenditure program tracker which would allow us to begin recovering deferred capital investments made since 2011 and not currently recovered in rates. Our application seeks to increase annual revenue by $29 million in 2018 and new rates under infrastructure modernization tracker program updates took effect last month in Kentucky, Indiana, Maryland and Virginia. Investments under these programs are designed to further improve system reliability and safety while efficiently recovering associated costs. Now let's turn to our electric operations on Slide 8. The IURC in December approved our environmental settlement agreement covering approval and cost recovery for investments related to handling coal-ash residuals from certain units at our Michigan City and Schaefer generating stations. Construction work on these projects is underway and is expected to be complete by the end of 2018. We continue to execute on our long-term electric infrastructure modernization program which includes enhancements to electric transmission and distribution infrastructure designed to improve systems safety and reliability. Approximately, $1.25 billion of investments are planned through 2022. New rates took effect in November under our second semi-annual tracker update. The latest tracker update request was filed last month and covers approximately $75 million of investments made from May through November of 2017. And construction of our two major electric transmission projects is expected to be completed in mid-2018. The 100 mile 345 KV and 65 mile 765 KV projects are designed to enhance region-wide system flexibility and reliability. As we wrap up today, just some key takeaways before opening the call to your questions. NiSource's utility infrastructure modernization programs continue to create value for customers, communities and shareholders and are sustainable for the long-term. For 2018 we continue to expect to deliver non-GAAP net operating earnings in the range of a $1.26 to a $1.32 per share and to complete $1.7 billion to $1.8 billion in capital investments. We remain on-track to execute against our more than $30 billion in identified long-term investment opportunities. With our robust investment plans, we continue to expect to grow both operating earnings and our dividend by 5% to 7% annually through 2020 while maintaining our investment grade credit ratings. Thank you all for participating today and for your ongoing interest in and support of NiSource. Now let's open the call to your questions. Andrew?
Operator: [Operator Instructions] Our first question comes from Paul Ridzon with KeyBanc Capital Markets. Your line is now open.
Paul Ridzon: Joe, since you took the helm, you've kind of laid out a pretty solid story of sustainable growth, protecting the balance sheet, predictability and that kind of -- recently we saw a headline that suggested you might be taking a different tact; can you comment on that?
Joseph Hamrock: I'm not sure what headline you're referring to Paul but [indiscernible] -- got you. So I won't speculate or comment on M&A activity or market rumors; I'll say that NiSource has always had a disciplined approach to growing shareholder value and the most recent example of that was last year when we elevated our CapEx program announced at Investor Day, that should result in an increased long-term growth rate of 5% to 7%. And our current focus to grow shareholder value calls for continued execution of the $30 billion of long-term identified investments that as you know will benefit our customers and communities and underpins the sustainability of our plan, our focus remains there.
Paul Ridzon: And because NiSource is a little bit of a unique structure from the corporate structure standpoint, can you just give us a little bit more detail around how you've addressed tax reform issues and interest deductibility?
Joseph Hamrock: Sure. As I noted earlier, as I mentioned and Donald touched on this as well, we're very pleased that the new framework reflects the targeted solutions with so many of us advocated for -- across the industry throughout 2017, fundamentally because it benefits our customers and supports economic growth which underpins our business and it enhances the sustainability of our infrastructure modernization strategy by reducing one of the pass-through cost and customer bills. So while there is near-term adjustments to cash flow that we'll need to navigate, we're confident in our ability to do that. And as evidenced by our reaffirmation of 2018 guidance back in December, Donald can provide some additional insights and details but one of the things that we've looked at is the key to the retention of interest expense deductibility and we're able to retain that through one of the elements of legal entity restructuring at the subsidiary level that we initiated in early 2017. Among other changes, this effort includes the conversion of NIPSCO to an LLC which was completed just last week, so note that this minor restructuring has no effect on either investors or customers but helps us to retain the overall framework that's so important to us. Donald, any other additional details on our positioning on that?
Donald Brown: I think when you think about the other impact of interest deductibility it did lose some value from the interest tax shield going from 35% to 21% but we've got levers from an O&M standpoint and financing standpoint and regulatory mechanisms that allows us to offset that and maintain our earnings commitment for 2018 and going forward.
Paul Ridzon: Donald, you indicated you hedged $1 billion of interest rate risk; did you expense that in '17 or will that be amortized over the pedal [ph] as you put it in place?
Donald Brown: That will be amortized over a bit late [ph].
Operator: Our next question comes from Shah [ph] with Guggenheim Partners. Your line is now open.
Unidentified Analyst: One question on the Holdco debt, the $2 billion that historically is in like an inter-company loan to the utilities. Joe, just -- so basically, by NIPSCO turning into a LLC you classified NiSource as a regulated utility which is how you sort of got that carve out?
Joseph Hamrock: That's a fair characterization.
Unidentified Analyst: And then, let me just -- sort on over the equity, and you guys have historically have guided to $200 million to $300 million in equity through internal programs, and you've talked about sort of being opportunistic depending on where your balance sheet metrics got to shake out. Just remind us, what's the status of the internal programs for '18? Is there any preliminary indications that this range could change? And sort of more importantly, as you guys are having discussions with the commissioners, is there sort of any prelim talk about potentially retaining some of the tax savings and maybe deploying it into needed infrastructure; so, i.e. accelerate some spending versus immediate credits to the repairs [ph]?
Donald Brown: I think it's orally -- we're in 7 states having conversations with our regulators regarding tax reform and those impacts. In most cases, we have made filings to provide information around those deferred tax adjustments and what those impacts could be on customers. I think what we've got is flexibility, at this point if you think about being in 7 states having the number of infrastructure programs we've got in places, as well as the NIPSCO gas case and the Ohio CEP program that -- I think we've got an ability to manage the cash impact overtime through those different programs and maintain our earnings and dividend growth commitments.
Unidentified Analyst: You guys have utilized your levers extremely well, so whether it's on the O&M side or whether it's been sort of their refinancing program, is there anything first of all left on the refi program? And then are you still comfortable sort of guiding towards flat O&M profile, even beyond your current outlook, especially when you sort of utilized the levers of the NIPSCO in Columbia Gas merger?
Donald Brown: So, I'll start first on the refinancing. When we refinanced the debt last May, we only refinanced about half of that debt, there are still maturities in 2019, 2020 and 2022; so we'll continue to look at those and see if there is opportunity to refinance that and provide savings and value for our shareholders but that is not contemplated in our earnings guidance at this point.
Joseph Hamrock: On the O&M side, as we've talked about over the past couple of quarters, the O&M increases in 2017 were largely due to the commitments we've made in the areas of safety, reliability, trainings and pretty significant commitments there; all aimed at sustaining value for our customers. In that vein, we also had planned increases to support our customer growth initiative and our customer value strategy which are both off to a great start and underpinned our confidence and the sustainability of our plan and the expectation of flat O&M in 2018 off of the 2017 base; so we're in a really good spot there.
Operator: Our next question comes from Michael Weinstein with Credit Suisse. Your line is now open.
Michael Weinstein: Could you comment a little bit about any equity that might be needed in order to strengthen the balance sheet as a result of tax reforms and I realized that that might be dependent somewhat on your discussions with regulators throughout the year? And how that discussions go regarding preserving cash flows or amortization regulatory assets and things like that? Can you talk about the need for equity and perhaps the timing of when you would be able to announce that need and more specifics around that?
Donald Brown: As I said, we're working across the 7 states, I think it will take some time. I would expect it's going to be the next 4 to 6 months before we have any clarity from a regulatory perspective on the timing of that path back. At the same time we are having conversations with rating agencies and showing them our plan, as well as scenarios around financing depending on cash flow changes. Again, I think we've got levers in terms of financing that's not just equity, we would look at debt in terms of tenures, historically we've done mostly 30-year debt and so if you shorten that into 3s, and 5s, and 10s; that would provide some savings in FFO. We'd also look at hybrids and preferred that provides you some equity content as well as equity. So I think it's probably 4 to 6 months in terms of the regulatory, that's the part that we're really focusing on at this point and then the financing plan will come out of that.
Michael Weinstein: To what extent are these plans already contemplated inside the 5% to 7% earnings growth rate?
Donald Brown: All of those plans are contemplated. So I think it's coming out in late 2017 right after tax reform was to reaffirm our confidence in our plan and having flexibility and levers to hit our earnings guidance for 2018 as well as long-term.
Michael Weinstein: And does it move it around in a range at all? I mean, what's the low end of the range as a result of any equity that might come out or is this something that had been planned so well in advance that there is essentially no change to 5 or 7; which is it?
Donald Brown: There is essentially no change to the 5 to 7, we think we've got -- we believe we've got levers to hit that range. If you think about what we've always said around the range, lower versus higher, what really drives our earnings year-to-year are regulatory programs and our execution on those regulatory programs. And so that's still the case going forward here, our execution on those programs would get us to the higher range because of timing on those programs or at least how we come out. So no concerns with hitting the high range or at all going forward.
Joseph Hamrock: Couple of things I'd add just to add a little context around that whole picture is, keep in mind that the targeted solution reflects the advocacy work that we were all involved in a year ago. So had a pretty long runway to take it into account all of the various factors that ultimately did show up in the tax reform package; so our plans have been well developed over a year or more now. And then, I'd add to that, on the regulatory side with our -- the puzzle of 7 jurisdictions and [indiscernible] rate mechanisms but it's a little hard to predict specific timing across each of those but given our relatively rapid regulatory cadence across our 7 states, we have every expectation that most of those are settled going into 2019 and that we have essentially build into rate the full effect of the tax reform and reduced interest rates into customers rates going into 2019. So those two kind of book ends to the strategy might help think about how we're framing everything.
Operator: Our next question comes from Christopher Turnure with JP Morgan. Your line is now open.
Christopher Turnure: Most of my questions have been answered but I just wanted to ask you if you have an update to your rate base growth CAGR long-term of 8% to 10%? And I'm assuming that that's going to be a bit higher now? Is there a confidence that you guys have that given that that's going to positively impact you in the long-term that some of these shorter term things that you're doing to offset the pain of tax reform will kind of transition into that, and in other words, there won't be a year or two where you have the negative of tax reform but you don't have the positive benefit of the higher rate base?
Donald Brown: It's a little early to think through or guide through those. We remain committed to the guidance we provided, previously the 8% to 10% rate base growth from last year. We'll continue to look at our plan as we go through the year ahead, especially with all of the regulatory activity related to tax reform but as we sit here today, the current guidance holds.
Joseph Hamrock: And I'd add that certainly all things being equal, rate base will be higher because of this tax reform. We're just not at a place to -- with the regulatory implementation that needs to take place to state what rate base growth will be. I'd also say that we're not at a point where we would change our CapEx plans, we're still committed to the $1.6 billion to $1.8 billion a year.
Christopher Turnure: Just a follow-on from the last question; I think the timing of the next couple kind of key decision tree you guys and regulatory or investor disclosures. You highlighted that the regulatory elements that are probably the most important thing but we also have possibly the IRS coming out with clarity on interest deductibility and then at some point in these three you guys possibly look beyond 2020 for your long-term guidance. So do you think we might kind have a mid-year point in time where there is enough to give us a full update there or we'll have to wait till early 2019?
Donald Brown: I'd say from a long-term plan we have big point of guiding through -- our 2020 was our long-term plan, looks at replacement of our generation capacity. Last year we talked about retiring some of our coal units in 2018 and 2023, and so long-term we need to make some decisions on the replacement of that coal capacity, we're kicking off that IRP program this year and I think by the end of the year we should have clarity on what that CapEx plan if any looks like -- and be able to guide past 2020.
Operator: Our next question comes from Greg Gordon with Evercore ISI. Your line is now open.
Gregory Gordon: When you expressed confidence in your ability to meet the 5% to 7% growth rate for 2020, I presume you've done the scenario analysis. It looks that while you're up, that metric is today -- will form the [indiscernible] form of what regulatory outcomes will be in the next 12 months or so and then sort of ultimately be solving for differing assumed equity meetings and most of all of those cases your sum is around either 7% range; is that the right way for me to think about it as I try to back path [ph] your confidence and your ability to continue to meet debt earnings targets?
Donald Brown: That's exactly right, Greg. As we started thinking about tax reform and the path back of those savings, we're really looking state by state, trying to understand what those changes could be, what the impacts could be, looking at O&M as well because that impacts FFO, and then as you've said kind of back flopping to see what type of financing would provide us to hit our rating commitments with our agencies, as well as our 5% to 7% earnings growth commitments.
Gregory Gordon: So there the scenario is will you get constructive rate outcomes, there is minimal equity needs and you're at the high end of the range in those -- because other outcomes where you get less constructive outcomes and you hold off the cost levers more but you need more equity and you might trip towards the middle of low end of the range; is that the right way to think about it?
Donald Brown: Yes, certainly you could have scenarios in all of those directions.
Joseph Hamrock: In any given year that's true.
Operator: Our next question comes from Charles Fishman with Morningstar Research. Your line is now open.
Charles Fishman: On the dividend increase, you had certainly a terrific increase last month. Can I assume the 5% to 7% dividend increase, annual dividend increase growth is based on that new dividend?
Donald Brown: That is correct. We've raised the dividend and what we've always stated was that we'd have -- we target about a payout of 60% to 70% with our earnings growth from 2016 to 2017 as well as our guidance of $1.26 to $1.32. For next year the 11% increase was really in line with our long-term commitments around growth in dividend payout.
Charles Fishman: Second question; you've had $10 billion of identified long-term infrastructure for your Indiana electric operations for quite some time and I realized you're in the middle of IRP but does that -- does the $10 billion, is that more than just T&D? In other words, is there any other coal plan environmental projects that are in there, is there any new gas plan in there? What is it in that $10 billion?
Joseph Hamrock: We've refreshed that at Investor Day last year, so that was -- that number is about a year old at this point and it does reflect the full suite of investments across generation transmission and distribution, predominantly on the T&D side but if you look at our generation strategy, there is the anticipation of new generation inside that number as well as -- I call it a tail on the environment spend, the EOG spend is in the next decade. So you'll see a little bit of all of that mixed into that picture, as well as some customer growth.
Charles Fishman: When you say the tail of the environmental spend; is there other units at Schaefer and Michigan or that are still out there that need some work [ph]?
Joseph Hamrock: No, we're in the CCR investment cycle right now, so that piece is a part of that. Keep in mind, we filed a $400 million CPCN last year for environmental retrofits, both, CCR and EOG compliance related investments, we have a settlement and approval on the CCR side but the EOG rule has been stayed. So that spend is still anticipated, it was included in the $10 billion and likely falls out beyond 2020.
Charles Fishman: So it sounds like you just have a plug in there for potentially a new gas plant and obviously the outcome of the ROP [ph] might drive that? I hope you refine it.
Joseph Hamrock: That's correct, yes. In the last IRP we did show a combined cycle plan, so it's consistent with the last IRP but as was noted earlier, Donald touched on this; we will go through a new integrated resource planning cycle this year starting next month, first stakeholder meeting next month and so we'll go through a full market analysis, we'll do an RFP to see what's available in the market, look at our build options and as we cycle through that around the end of this year we should have a much more updated picture of those expectations but that was included in the $10 billion -- about $800 million or so in the $10 billion.
Operator: [Operator Instructions] Our next comes from Faisal Khan with Citigroup. Your line is now open.
Unidentified Analyst: This is Ryan [ph] for Faisal. Do you anticipate changing the duration or tenure of your debt obligations to help manage your earnings group outlook? I heard your comments around financing and adjustments to help achieve your guidance?
Donald Brown: Yes, I think it's one of the options that we're looking at is the tenure of future financings going shorter, if necessary to manage our earnings and debt commitments around our ratings.
Unidentified Analyst: And then what was your ATM issuance in the fourth quarter so far this year?
Donald Brown: So last year we did $315 million for the year, in the fourth quarter we did it forward. So part of our ATM program when we established it was a forward mechanism, we did a forward of about $170 million debt, we would close by the end of 2018.
Unidentified Analyst: Was there any issuance in the last few months?
Donald Brown: There was not. So $314 million for the total year of 2017 and the we did a forward for $170 million for 2018.
Unidentified Analyst: And has there been any updates around the status of the IRP process with stakeholder engagements in Indiana since the last earnings call? I think you had the meeting next month but any color you can provide around, it's been more of a formal conversation.
Joseph Hamrock: Ryan, no update. We haven't actually initiated the process, the first stakeholder meeting is next month, so we'll set up the process there. Our intent is to go through a full look at diverse portfolio, solution sets including build buy alternatives, and work through that, including an RFP into the market and probably in the second quarter we'll do that. So I'd watch the first second quarter updates for status updates on that, there is not a lot to say about it except it is a very open balanced picture that we want to create to guide that decision.
Operator: [Operator Instructions] I am showing no further questions. I would now like to turn the call back to Joe Hamrock, CEO, for any further remarks.
Joseph Hamrock: Thank you, Andrew. And again, thank you all for participating today for your ongoing interest in and support of NiSource. Have a great day, we'll see you next quarter.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program, you may all disconnect. Everyone have a great day.